Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2016 Golar LNG Limited Earnings Conference Call. Today's conference is being recorded. At this time I would like to turn the conference over to Mr. Brian Tienzo. Please go ahead, sir.
Brian Tienzo: Thank you, moderator, and hello, everyone. Welcome to Golar's second quarter results presentation. As the moderator said my name is Brian Tienzo and I will take you through the second-quarter highlights as well as the financial highlights. I'm joined here today by our CEO, Oscar Spieler, and he will take you through the business highlights and the summary and outlook sections. So let's turn to page 3 for the second-quarter highlights. EBITDA in the quarter reported a loss of $17.5 million, compared to a Q1 loss of $21.7 million. As previously announced, Golar and Stonepeak Infrastructure Partners launched Golar Power, a 50/50 joint venture. The aim of that joint venture is to offer an integrated LNG based downstream power solutions and infrastructure. Of course that's already in process, and the first big project that we are looking forward to enacting under that joint venture is the Sergipe project. At the end of June, Golar's 15.9 million subordinated units in Golar Partners converted to common units. That means that Golar now has 17.8 million common units. In addition to that it also owns the 1.3 million GP units. We also refinanced and then closed the sale of the Golar Tundra FSRU to Golar Partners, releasing an incremental $102.8 million of liquidity. In July we closed the Golar Power transaction and received $103 million in new liquidity. In addition to the cash coming in, debt and operating cash burn in respect of two vessels, the Penguin and the Celsius, as well as the $216.5 million of unfunded capital commitments for the FSRU new build that delivers in November 2017 is now removed from Golar's balance sheet. In January of this year both Golar and Schlum announced a joint corporation that would allow both entities to look at greenfield, brownfield, and stranded gas reserves, and the product of this corporation is the newly formed OneLNG JV. The role of the JV is to go on and offer an integrated upstream and midstream solution for development of low cost gas reserves to LNG. As previously announced also, we continued to explore the way forward with the Ophir project, and we are glad to say that good progress was made on the Fortuna project during the quarter. We remain cautiously optimistic on shipping, but there are clear signs that the commencement of its recovery, with the improvement in utilization rates and reappearance of round-trip economics a sure sign that it seems to have turned a corner. Let's now turn to page 4 to quickly go through the Golar Power transaction. So in June we announced that Golar and Stonepeak will create a 50/50 joint venture, the product of which was Golar Power JV, and the role of the JV was to offer an integrated LNG based downstream solution. As a result of this joint venture, Stonepeak is willing to or have committed to contribute $290 million in new liquidity to develop Golar Power, and of course they have the requirement or the need - the hope to increase this to $500 million over the coming years. The joint venture also released $105 million of new liquidity for Golar. And of course in respect of that $10 million was contributed to Golar Power as working capital. There is an additional subscription of $100 million of preference shares in respect of Golar shares, and together with Golar's $10 million contribution, Golar Power now has $110 million to sustain its asset base, meet its FSRU new build requirements and initiate conversions. In addition to the additional liquidity, Golar's balance sheet is also healthier, to the extent that JV now assumes $431 million of liabilities on those two ships and the remaining FSRU CapEx and the new build FSRU due to deliver next year. As a result of this, Golar Power will have first right of refusal for all new FSRU projects. Nevertheless in the event Golar Power rejects certain FSRU projects, Golar LNG will have the opportunity to independently pursue those projects. And of course, one of the bigger projects that Golar Power is aiming at is the Sergipe project, of which there is now deemed anticipated FID in the coming months. To make sure that Golar LNG Partners remains whole, Golar Power has signed an omnibus agreement with the partnership such that Golar Partners and Golar Power will have the ability between them to agree potential drop down opportunities. Golar will deconsolidate, and then equity account for Golar Power when that transaction officially closes. Turning over to page 5 to look at the OneLNG transaction. So as we announced in January, we were working with Schlumberger to -- in cooperation to jointly develop system to reduce LNG at a low cost base. And the product of this is through our OneLNG JV. OneLNG was established in July, and started off with $20 million worth of working capital. As with Golar Power and FSRUs, all new FLNG business development will be initiated by OneLNG. Similarly, if the Board of OneLNG chooses not to pursue a specific FLNG project, Golar and Schlumberger are free to pursue such projects. As part of its starter process, OneLNG has commissioned a reserve study to look at various reserves around the world, and that result is now being assessed and prioritized. When the first OneLNG project has reached an FID, both parties will be required to contribute $250 million each in new equity, but only at the time when FID is reached on those projects. The structure of the JV is such that individual projects will be owned by the SPVs that sit below OneLNG holdco, and then individual tie-ups of ownership and financing will be determined for each project. And that could of course vary depending on the roles and contributions of each party to that project. As with Golar Power, our OneLNG shareholders will have the ability to be able to drop down assets to LNG Partners. And the equity - sorry, the accounting treatment of OneLNG will be that Golar will equity account for the JV from the third quarter. So I think in summary of those two transaction summaries, both Golar and OneLNG is a culmination of efforts that allows Golar LNG Limited to achieve one of its objectives of being an integrated midterm solution, but also allows it to further the development of other opportunities which it would otherwise not be able to do given the current environment. Turning now to page 6. This is just a summary of the last two pages that we've talked about, and it's just a graphical representation of the various JVs that we've entered into. On page 7, our financial highlights, I think the most striking point to look at here is the increase in utilization from Q1 to Q2. I think to some extent the utilizing in Q2 is slightly subdued, that's simply because of the two LNG carriers that we had in Q1 that were employed by Nigeria LNG. Having said that, we have seen positive factors during the second quarter that have continued to emanate during the third quarter; that gives us a bit more confidence that a shifting market is now recovering. So in Q2 net operating revenues increased very slightly from $5.4 million in Q1 to $6.3 million in Q2. Similarly, operating expenses and administration expenses were also down slightly, such that the EBITDA in the second quarter at $17.5 million loss was a decrease of a loss of $21.7 million in the first quarter. While other financial expenses from Q1 to Q2 were stable, there was one factor in Q1 that existed that makes the net financial expenses in the second quarter much higher, and that is that in the first quarter there was a catch-up charge and deemed interest credit from the construction of the Hilli, and that catch-up charge included a culmination of accumulated adjustments from 2015. Going forward that is now normalized, and we shouldn't expect big variation in those charges. Turning over to page 8, you can look at the highlights in the balance sheet. We continued to progress on Golar FLNG Hilli, such that there is now -- the total cost now incurred as of the second quarter is $620 million versus Q1 of $571 million. The restricted cash in respect of the Cameroon project remains level as of that date. However, later on we will see that some of that amount is actually being released. And you will see that in the short-term assets there is a big jump in the current assets, including assets held for sale from $301 million in Q1 to $728 million in Q2. That is the result of the vessels that are due for sale to Golar Power, such as the Celsius, the Penguin, and of course the Tundra remains part in there simply because of the purchase - the put option that we have with Golar Partners, and until such time as the put option goes away, we continue to consolidate the Golar Tundra. Turning now to page 9 to look at the Company's liquidity. So Golar's cash position as of the end of June was $464 million; however, of this $280 million and $85.9 million were restricted by way of the LC relating to Golar FLNG Hilli and the company's total return swap. As mentioned just now, in July we were able to release $13.9 million from the Hilli LC, such that $280 million has now dropped to $266 million. There is some opportunity to further release $31 million in the coming months, and that is being progressed. As a result of the conclusion of the Golar Power transaction, a further $104 million was added to liquidity. And in addition to additional liquidity, of course $214 million of debt associated with the LNG carriers and $217 million of outstanding CapEx for the 2017 new build now sits outside of the Golar LNG balance sheet. We've previously mentioned that Golar FLNG Hilli is now fully financed, and so focus has shifted to Gandria. On this subject, good progress has been made in negotiating terms, and we -- our mission is to have a fully committed financing in place at or before the Fortuna project takes FID. Affecting financing of FLNG units is the OneLNG, and the creation of OneLNG is something that we expect - that allows us to look at new financing opportunities for future FLNG projects. Of course one of the points - one of the things that we are firmly focused on is that finding a solution for the March 2017 convertible bond of $250 million. We continue to have discussions with advisors, and there is firm view that there may be possibilities to take out the bond before maturity. As per our press release, we have been looking at structures that allows us to create a corporate facility; such corporate facility securing some of the units of Golar LNG Partners that Golar LNG Limited owns, and potentially also monetizing the IDRs that Golar LNG currently receives from Golar LNG Partners. I think a combination of those two takes us very close to being able to solve the existing bond. Nevertheless, should those opportunities not come to fruition, then the Company's intention is to cash settle the bonds on maturity. Turning now to page 10, at this point I'd like to turn over the presentation to our CEO, Oscar Spieler.
Oscar Spieler: Thank you very much, Brian. The market has over the last month changed with more activity, high utilization, and rates. Factors like increased LNG production, low LNG prices, and some congestion have resulted in higher utilization of the world LNG fleet. The utilization of the world LNG fleet has been extremely low over the last year, but going forward we believe, based on the new production coming on stream and the LNG new building group, that utilization of the world LNG fleet will improve as indicated in the graph. We have seen in the LNG shipping market and other shipping market when the utilization reaches a certain point that the rate spikes up in 2011. In 2012 we saw the market move from a very low level to about $100,000 in a few weeks, followed by a number of PC concluded. The Q2 utilization is higher than Q1, and Q3 will actually be higher than Q2. The rate has changed from $30,000 on the sing and royal business to around $40,000. And more importantly that they actually get compensated for the balance leg. Going forward, the new quarters - the next four quarters we believe that the market will be active and steadily improving. Going over to the next slide on FSRUs. With the increased LNG production coming out on stream combined with the low energy prices, there is a lot of interest in the FSRU market. We are pursuing opportunities in India, Pakistan, Indonesia, Brazil, Egypt and a few others, and we have actually increased our commercial resources working on the FSRU market over the last quarter. More players have actually entered into the FSRU market increasing the competition, and owners of LNG carriers have started to enter into FSRU conversions. We believe that we are very well positioned since we are the only player in this market that actually has all things ready. We have vessels available for conversions. We are lined up and ready to order long-lead items. We have the operational, conversional, and commercial experience, and we believe that we are very well positioned in this market. One of the keys just to be able to compete is actually that we have FSRU available on our recent product with all sub orders. We actually didn't have FSRU available. With the conversion we believe we will be in the best position available to deliver FSRU on a shorter notice without ordering speculative FSRUs. I know a lot of investors and people are impatient to see the next deal, and it is important for investors to understand that actually to develop the import terminal is a big cost, including securing land, permitting, off take, LNG supply, FSRU, and not at least financing. When it comes to Tundra, Tundra tendered Notice of Readiness in June, and our counterparty, WAGL, has experienced significant delays in developing the projects and to conclude their obligations. We harbor a team with WAGL to final solution, and we will revert with further news on that. Going over to page 12 on the FLNG side. With the creation of OneLNG, and bringing Schlumberger in, we believe that our success rate will improve. Schlumberger brings a lot of knowledge we do not have, both when it comes to evaluation of reserves and upstream development in addition giving banks and customer service on our FLNG concept. Very few if any LNG projects can show - LNG development can show the same cost breakeven as we can, and we believe that we can deliver at LNG, we more or less worldwide below $5 per mmbtu as you see in the pictures there. With this return and not at least we are able to develop [low project cost] than anybody else. When it comes to new projects, I think the cheapest FLNG project we can develop is actually to develop trains three and four on Hilli, and we have had this discussion with different stakeholders, both Perenco and the government, and we are optimistic that we will be able to conclude that over the next year, that we actually are able to start on train three and four after acceptance of the vessel. We are making good progress with Ophir, and better alignment there is between the upstream and the midstream. The easiest it is to execute the progress, both from a contract finance and security point of view. Based on current gas forward prices, the combined upstream and shipping investment required to complete the development should as we see it be manageable and financeable. Out of all of the projects we are looking at, Ophir is the most advanced and has the best combination of reserve, size, gaps quoted, low cost, government support, and upstream alignment. So we are pretty optimistic that we remain to make FID according to their recent announcement. Going over to slide 13 on Hilli. Hilli is on schedule. I was down there a few weeks ago to get with our Chairman, and it was confirmed, and I'm down there every second -- every month, and we are on schedule to start off production in Cameroon in September 2017. Most equipment is lifted on board; we are now starting to focus on completing system by system so we can actually start to do pre-commissioning on the different systems. We have around 3,000 people on board working on the project on Keppel, and we also have around 300 to 400 people doing night shift. The register will be delivered in Cameroon in Q2 and installed immediately afterwards. When it comes to permits, everything is going according to schedule and we fortunately don't have issues there at the moment. We have regular meetings with Perenco and they are according to -- they are according to schedule. They are well advanced with regard to pipelines, sable works, longer license, et cetera, so we don't see any issue with them completing. You can see some pictures from the site in Cameroon there. Important thing to get this vessel in operation, so pre-operation is the key, and everything is going according to plan. We have started to recruit people, fitting our maintenance plans and spare parts, et cetera. The cooperation between Perenco and us is extremely good, and so goes also for Golar and Black and Veatch and Keppel. I think that's extremely important that we have a good cooperation with your [counter partner] in order to not delay the project. We are every day taking measures to reduce the risk of problem during start up, and we are adding more people on the site team, we are doing extra tests, et cetera. So we are well - we believe that we will be able to deliver this vessel in Cameroon end of September 2017. When it comes to cost, we still believe that we will be below budget, but of course it's in the final stage so we don't know exactly what will happen over the next 12 months, but we still believe that we have pretty good control over that. Going over to page number 14, summary and outlook. As Brian was mentioning, we have done the Golar Power deal, which I think has been extremely important for Golar when it comes to our balance, our cash position and balance. We have done OneLNG; brings in a lot of knowledge into our FLNG concept. It is for us to now to start to build this Company and actually start to execute. LNG shipping has improved, and we believe that with new production ramping up, we believe that the rates will improve step by step. Of course that will result in a less cash drain from our cash, and hopefully we will, over the next quarters or the year, we will see some positive contribution from shipping. Golar Tundra, as we said there are concerns there, but we have constructive discussions with our counterparty and we believe we will find a solution there. We are -- when it comes to Schlumberger we have been through a type of a -- going through the world's gas field and going for the super gas fields which we want to work on, and that work is pursuing. We are also looking for employing a CEO for that Company. And then we have a new corporate facility. We have a solution that unlocks the value of the MLP IDRs that's being worked on in order to take out -- convert the bond. And we are quite positive that we will be able to find a solution for that. As we said, the Fortuna project has been doing good progress, and we are very optimistic on that project going forward. Then I'll leave the word and we are going for Q&A. Thank you. So hello, moderator, we're now ready to take Q&A.
Operator: Thank you. [Operator Instructions] And we will take an opening question from Michael Webber of Wells Fargo. Please go ahead. Your line is open.
Michael Webber: Good morning. How are you?
Brian Tienzo: Hi, Mike. Thank you. Good, thanks.
Michael Webber: Brian, I wanted to start off with a question for you and just focusing on liquidity within the context of the ongoing FLNG build out. I guess maybe can you help us frame up how you think about prioritizing a balance sheet clean up and taking care of the convert? Any issues with the Tundra versus being able to get over the line on attractive financing for the next FLNG project? Is it a situation where we would need to see the convert handled and the Tundra issue put to the side before we could reasonably see a $1 billion check from your lending base? Or just maybe…
Brian Tienzo: No, I'm sorry. Sorry to cut you off. The answer is no. I think both of those to some extent, those were independent. I think on the one side, we are very focused in fixing the balance sheet. I think that starts with fixing the convert issue. I think to some extent that makes up a big chunk of some of the liquidity concern that we're seeing from investors and analysts alike. We've put into motion a quite good discussions now for a few weeks on how best to do it. We think that there's an opportunity to be able to take the CVs before maturity. We've discussed a couple of structures which we are now looking at that enables us to accumulate sufficient funds pre-maturity to be able to take out the convert. So I think that the repair of the CV is priority -- sorry, the repair of the balance sheet starts with repairing or fixing the CV. On the side of that, there has been a lot of discussions, and they're being involved in those, in looking for a financing for the second FLNG. And they are independent, and of course to some extent I'm sure it would be easier to be discussing these kind of projects with potential lenders if we weren't in the position that we are today. But I think they also realize that the project itself will be self-sustaining. So we're not very far from being able to agree terms on a second FLNG project.
Michael Webber: And just as a follow up to that, you mentioned in your prepared remarks, Brian, and Oscar, I think you mentioned as well, finding a way to potentially monetize the IDRs and JMLP as a means of adding liquidity outside of simply collateralizing or selling your LP units. Initially my question was going to be would you look to do a maybe a GMLT [ph] and have them buy them in house and/or sell them to the JV, or to your downstream JV. But it seems like you could potentially collateralize those within a corporate facility. If you could maybe help us think about each of those scenarios and where monetizing the IDRs fall within the B priority west of liquidity mechanisms for you?
Brian Tienzo: Sure. I think the way we have been looking at this is obviously that Golar LNG with FLNG projects and potentially FSRUs coming soon, there is a good source of growth that we can see coming which we could use to feed Golar Partners. But I think in the current environment today, it's very difficult for the partnership to achieve an incremental and meaningful growth with all the restrictions we're having in terms of being able to raise finance and so on. So one of the things that we could point at which helps both entities is we highlight that currently Golar LNG Limited receives about $8.6 million worth of IDRs annually. There is the potential and there is a mechanism within the partnership agreement that allows us to have a look at perhaps resetting the IDRs, and by doing that there is a possibility for Golar LNG Limited to receive some cash up front in return for that. Similarly the dividends that Golar LNG Limited would otherwise receive under those IDRs could become available for distribution to common unit holders. And we've tested a scenario where at a time when we're able to drop down chunks of the Hilli, under that scenario it seems to us that it's easier to achieve a meaningful incremental growth for that kind of drop down to the MLP than in the current status today.
Michael Webber: Okay, that's helpful. Just one more for me and I'll turn it over and I'll leave the Tundra questions to the next in line. But I believe within the text of the release, and Oscar I think you mentioned this, around the Hilli the ability to potentially increase the volumes and the throughput there after first gas. I'm just curious as to whether you're talking about pulling forward volumes and shortening the term of the contract to activate a third train and going from eight years to five years, or whether you're talking about the government being potentially open sooner rather than later to a larger nominal export license and keeping that term the same?
Oscar Spieler: We are having initial discussions for that, and the discussion I'd say it's not decided; there are two options. Either you can accelerate the production under today's production license or you can actually increase the volume. It's under discussion.
Michael Webber: Right. And which one of those - it seems that if it's pulling forward volumes, it would seem like the easiest option because it still fits within the existing license. I guess what I'm asking is has there been any movement from the government's end to potentially just go ahead and expand that?
Brian Tienzo: We are in discussion with the partner, with our stakeholders and it's too early to actually comment on that question.
Michael Webber: That's fair. I'll turn it over and get back in the queue. Thanks.
Operator: We will take our next question from Jon Chappell of Evercore ISI. Please go ahead. Your line is open.
Jon Chappell: Thank you. Good afternoon. Brian, first thing I wanted to ask you about was on potential economics for FLNG as you look outside of the core competency right now of West Africa. It said in the press release that you're looking at maybe other regions like Asia, and I think in the presentation the US Gulf. And we see headlines today or yesterday about maybe [browse] coming back online in the form of an FLNG as opposed to an onshore facility. So obviously the focus right now has been on one certain area and stranded gas there. Is it something where the economics potentially make even more sense in other areas, or is it something whereas you develop the relationship and the capabilities with Schlumberger that maybe the economics could improve over time and enable you to pursue other regions?
Brian Tienzo: Thinking about where we are today, there is a reason that we're concentrating on West African opportunities at the moment, and it is good for their FLNG solution that we have. They have a quality of gas that does not require us to change very much the FLNG solution that we can offer. And similarly there is a very cost effective production that the upstream Partners could actually achieve. So to some extent that makes the LNG coming out of that region very competitive, and at the moment I think that's very important given the current environment. As you know, Jon, we looked at other opportunities outside of West Africa previously. We have seen certain constraints in those regions previously. However, we believe that there are now - that we have now got the hang of those constraints. And we can see solutions going forward with those. So I'm talking about potential opportunities in North America, Gulf of Mexico, et cetera, et cetera. But you're absolutely right. I think the partnership with Schlumberger not only removes some of the shackles that we see, but we firmly believe that it allows us to get to those opportunities much more quickly, simply because we are approaching this from a more integrated offering rather than a midstream solution.
Oscar Spieler: A comment from my side there is of course we are -- with a developed Hilli we have a very narrow envelope when it comes to gas quality, and also when it comes to wabes [ph] and environmental conditions. We are working on the second version of Hilli to see - to increase the gas specifications so we can take more heavy gas. And secondly also operating in a bit more harsh environment. But harsh environment is not only benign environment. And that's going to unlock quite an opportunity.
Jon Chappell: Totally understand, very helpful. Just my second question, to keep it to two, I like that policy by the way. On the Tundra, obviously you sound very hopeful in something coming together with the counterparty there. But just as we think about potential derisking of that asset now, especially as it's still consolidated at Golar LNG, are you pursuing or even looking at other FSRU tenders with the Tundra? Is this something that could go to Golar Power? What are the alternatives if this doesn't work out as planned?
Oscar Spieler: We are under contract with WAGL and we don't have the right for the moment to actually go out in the market based on Braswell one. So that's a discussion we would need to have with WAGL before we do it.
Brian Tienzo: I think on top of that as well, if you look at the need of Ghana for an FSRU, it's pretty compelling. There is no - there's very little reason that Ghana itself will eventually not need an FSRU, I think it's the other way around. So while there has been delays on this project, we are still confident that the need for FSRU means that the Tundra will eventually go on to its contracted employment.
Jon Chappell: Okay, that's great. Thank you, Brian, thanks, Oscar.
Operator: We will take our next question from Fotis Giannakoulis of Morgan Stanley. Please go ahead. Your line is open.
Fotis Giannakoulis: Yes, thank you. I understand that you're still working for the Ophir project, and at the same time you announced this OneLNG joint venture with Schlumberger. I wanted to ask how many projects are you reviewing right now with OneLNG JV? I think it was mentioned at some point that you have short listed nine potential projects. If you can give us a little bit more color about the projects? And also if the OneLNG could be potentially the participant in the Ophir potential contract, potential project, and how this project will be structured, how the economics will be split between you and Schlumberger in any investment?
Oscar Spieler: When it comes to the different opportunities we are working on, we have just completed the screening. We have gone from 1,000 to 300 to 40 and then down to nine. Out of these nine there might be a few of them which we are working on. I will not go into detail for each project, but it's very much focused on West Africa for the moment. That's what I would want to say about that. And we are looking at as I said to increase the gas envelope. I think that's important to increase the number of available projects. Though West Africa is where we are focusing on for the moment. When it comes to Ophir, we have made good progress. We can take -- let's take the split between Schlum and Golar, I think that will be based on an equity basis, how much equity we build in each. So that's a fairly simple model. Schlumberger, they will actually deliver the upstream equipment, they will have some profit there, and we will deliver the FLNG and we will potentially have some profit in the FLNG and moving it in. There are different ways of doing that, but that's how it will work and then we will have an equity under which basis according to that. But when it comes to Ophir, we have made good progress; we are very optimistic. I think we are extremely aligned with Ophir and the government there. The gas fault is perfect, so we are extremely optimistic on that project. What else did you ask?
Fotis Giannakoulis: Yes, what I wanted to understand is if the OneLNG can potentially be the participant in the Ophir project? And also regarding the structure, the first contract was a simple time charter to Perenco; you didn't have any clear commodity exposure. I was wondering if in the OneLNG you're going to have also much more active upside on the commodity price?
Oscar Spieler: When it comes to OneLNG, generally on our project what we see as a big hurdle developing on the LNG project, whether it's FSRU or FLNGs that you need alignment. So we will try to have more alignment between OneLNG and our customer. So I think that -- because that reduces the time to develop the project, it reduces the time for legal fees, it reduces the requirement for letter of credit between the parties. So I think that's the structure we will go for. In the beginning we will try to - there are different ways of doing this. We can go ahead and offer services to smaller companies which doesn't have the operational and balance sheet to actually develop this, to do this on top of over royalty basis to them, that they will be the operator. Working with bigger parties, we will go for a type of tolling fee or a rate. So it is different structure for different clients. But of course we are targeting - our main target is actually small to medium companies which needs our help, both on the technical side and financing side. And we also believe that to these customers we have a much better leverage when it comes to negotiating a good deal for OneLNG.
Fotis Giannakoulis: Thank you. May I ask a second question, or that's considered two?
Brian Tienzo: That's three I think.
Fotis Giannakoulis: Okay, then I'll let it for the next one. Thank you.
Operator: We will take our next question from Ken Hoexter of Merrill Lynch. Please go ahead. Your line is open.
Ken Hoexter: Great, good morning. Just on the Fortuna, the good progress, you're optimistic. I want to get a little more specific. Is there a specific deadline for FID that is coming up? Is this very fluid? I just want to understand if there are more specific time frames that we should expect to see the next movement on the FID progress.
Brian Tienzo: Sure, Ken. Hi, it's Brian. So I think we've - not just ourselves, actually, but Ophir also have made known that we're aiming to take FID on the Ophir project around the end of this year. So that's still the case. Both parties have aligned to try to work something to enable us to be able to do that.
Ken Hoexter: But working toward it, is that different than there is a -- does their license expire at the end of the year that they need to, or is that just something that you're targeting?
Brian Tienzo: It is something that we're targeting. I think to some extent that is something that they need to deal with themselves. We can help them with that by representing the solution to the EG government, but ultimately they are the ones whose name is on the license, if that were the case. And in the event that we achieve it, then great. In the event that they may be late, which I'm not suggesting there is, then they may need to approach the EG.
Oscar Spieler: There are more specific time on there, but what we are doing is that there are weekly meetings between the top management of Ophir and the top management of Golar. We're putting up targets to try to get this done. One of the major challenges is of course financing. I think you'll actually agree that Ophir is not the biggest, but we have extremely focus to try to do this as short as possible. But I believe that it will actually end of the year we are hopeful that we will manage to get done by the end of the year and have the finance ready.
Ken Hoexter: That's helpful, thank you for that. On the Tundra I just wanted to understand, it sounds like from the release, so no payments have been made. You've issued receipts for that. Can you maybe walk us through the process here; what has to happen? If they don't make payment you mentioned that there were timelines. Maybe just clarify some of that, Oscar. Do you buyback from the MLP? Can you talk about the financial implications for your balance sheet and the like? Thanks.
Oscar Spieler: I think I will leave the financial discussions for Brian. But when it comes to discuss the process we have with WAGL it would not be wise to us. So I think we are having discussion to solve this the best way for both parties, and then we will -- of course we are protecting our rights under the contracts and then we will take it from there.
Brian Tienzo: Yes, I think what we've been talking about with delays now, it was in our 6-K and of course we highlighted it again because it exists. But as far as Golar and GMLP is concerned, we are doing what we need to do under the contracts and make sure that our rights under that contract is aligned. We have procured a very strong legal opinion in the event that we have to go there. I'm not suggesting that we do, but we are just protecting our rights. But to some extent we've not really got into the nitty-gritty of unwinding the transaction simply because of the different factors we mentioned earlier, one being there is constructive discussions ongoing with WAGL. There is proof of a FSRU requirement in Ghana, and we believe that there is also ministerial support in there. So I think it makes us cautiously confident, but confident nevertheless that this project exists. And it's not in the benefit of either Golar or MLP to be thinking or to be preparing for otherwise anyway. In other words, we are both aligned in our respective belief of the project.
Ken Hoexter: Okay. So just to come back to the question though, as far as balance sheet implications or anything, nothing changes in the interim? You're confident that it's going to get done, but you have a year time frame until you have to receive those payments? I want to again coming back to deadlines to understand how long this stays open for?
Brian Tienzo: Yes, so as far as Golar is concerned, and Golar Partners is concerned, there is under the sale transaction, the drop down transaction, the put option only crystallizes in May 2017. So until that time we look for a solution, we continue to make sure the dialogue is ongoing and trying to facilitate a way forward for the Tundra.
Ken Hoexter: Okay, that's helpful. Thanks, Brian. Thanks, Oscar.
Oscar Spieler: Thanks, Ken.
Operator: We will take our next question from Eric Stavseth of Arctic Securities. Please go ahead. Your line is open.
Erik Stavseth: Hi. Two questions. The first one you mentioned India and Indonesia. Could you elaborate what type of projects these are that could use or potentially develop into power projects? Is this residential projects or are they industrial projects? Indonesia, will they require small scale carriers?
Oscar Spieler: The Indonesia project is a straightforward FSRU contract, nothing special. And the Indian ones we are working on different projects there. Some are private players, which we are working with on the West Coast of India. So I don't want to really go into more detail on that. We have competitors listening into this call.
Erik Stavseth: Okay. Second question then relates to the -- you mentioned a Mark II FEED study, and could you just give us some indication on what the differences from the Mark I and the Hilli will be, and then how that FLNG unit would look?
Oscar Spieler: Not only what it will look like, for sure not, but what I can say is that we're going to increase the LNG specifications so we can actually extract on condensate from the vessel. We will be able to operate in a harsher environment; so that's the main things. How we do is something we will try to predict as long as possible. We believe that FEED will take something like six months. There are different ways of executing this, but we are a strong believer that we actually manage to maintain the cost of capital produced per year. It would be based on the new build LNG carrier. So we are starting - we have worked on it for a year, but we have not really focused on it due to resource restrictions. So we are taking that up again.
Erik Stavseth: Okay, thanks.
Operator: We will take our next question from Christian Wetherbee of Citigroup. Please go ahead. Your line is open.
Christian Wetherbee: Thanks, good afternoon. Wanted to come back to Fortuna and the Ophir project for a moment, just thinking about FID taken hopefully by year end. When we stretch out the timeline from then, can you just remind us or update us on how we might be thinking about project development and maybe first gas timing? Just wanted to get a sense, I know a lot of things need to happen between now and then, but how would you generally be thinking about it? I just wanted to make sure we're still on the same framework that we've been.
Oscar Spieler: The Fortuna project is a production deepwater directly from the well, so we need to add some extract equipment like a turret. We need to have some pre-treatment, additional pre-treatment equipment for the gas coming in. This will probably extend the conversion period a bit. So we are talking about going from 31 months to potentially 35 months from FID. So that means that it could take - it will be in 2019 beginning leaving the yard that we will have a two-month selling period to EG. A month's pick up I think, so we are talking about starting up in Q2 2020.
Christian Wetherbee: Okay, that's very helpful. I appreciate that. And then just wanted to touch base back onto the Hilli for a moment, just to get a sense of completion in the schedule timing and maybe flex within that window as you see that target towards September of next year. From a shipyard perspective, percent completion, from a financing perspective, how do we stand relative to the benchmarks that we've been waiting for? I know you said you're on schedule, it sounds like it's an aggressive window, but how do we feel about that as it stands right now?
Oscar Spieler: Originally the contracted capital was 17th of March next year. We have given them a month additional. We are down there every month, we are pushing them, getting more resources, making sure that the safety is taken into account and so forth. And the schedule now is still 17th of March. We are working on, as I said, trying to make sure that we complete system by system. So we manage to do as much pre-commissioning in Singapore as possible. The more we manage to test in Singapore the easier the testing in Cameroon will be. We are considering to take LNG on board, which makes us able to test even more. So you could say that we have to leave Singapore to be hooked up and ready to start commissioning from Singapore end of -- or middle of July, end of July, 2017. Then we have two months until - it's a month and a half sailing and two weeks hook up. So you can say that from the schedule we are working on today, which is the 17th of March, we have additional four months in our pockets. This I think is sufficient. Saying that, we are pushing to complete this vessel by 17th of March. We need to do a lot of testing. As I said, the earlier we are ready by the yard the less problem we will have during commissioning. And rest assured we are doing whatever we can to push the yard. You can say that Senior Management is down there every second week pushing the yard.
Christian Wetherbee: Okay, so you have the March 17 deadline, but you have the wiggle room effectively until July. So that's your cushion to the extent that you need it?
Oscar Spieler: Yes.
Christian Wetherbee: Okay. Great, thanks very much for the time. I appreciate it.
Operator: We will take our next question from Espen Landmark of Fearnley Securities. Please go ahead. Your line is open.
Espen Landmark: Hi, guys. Just wondering on the LNG shipping side things are starting to improve, which is good for cash flow near term. But is there a scenario here where Golar divests or charters out some of these vessels on long-term contracts?
Oscar Spieler: Of course there is a scenario for that when the market picks up, but at these levels we will not do it. We see two opportunities for these LNG carriers. It's of course if the market improves that's good, and taking liberty market for conversion into FSRU. So we'll see, we might go into some pawn sharpters [ph] in order to secure the cash flow, but we don't have any immediate plan for that.
Espen Landmark: All right.
Oscar Spieler: We are very bullish, or not very, but we are bullish on the market, not near term, but if you go one or two years ahead now, we believe that this market can actually breathe through partigue and give a positive cash flow going forward.
Espen Landmark: And then, Brian, on I guess on Hilli you're starting to retrieve $13.9 million and then another $31 million. Is there some material changes to the expectations for achieving this restricted cash going forward?
Brian Tienzo: No I don't think so. Unfortunately, we are in a position where we are trying as much as possible to push the bank to release cash. And we were somewhat successful in that in our last meeting. And there is -- we can see some ways to release the $31 million, we want to make sure that we use the right one to do it. But beyond that, I think to some extent it makes it a bit more difficult. But certainly without relying - what I mean by that is without relying heavily on the bank itself. So we will continue to push them. But I think we just need to be cautious about expecting a big chunk over and above the $31 million that we mentioned just now, expecting a big chunk over and above that to be released in the near term.
Espen Landmark: All right, thank you.
Operator: We will take our next question from Herman Hildan of Clarksons Platou. Please go ahead. Your line is open.
Herman Hildan: Hi, Oscar and Brian. Two questions. The first one is on the equity contribution. After FID we won LNG $250 million from Golar and $250 million from Schlumberger. Could you give some color on why those numbers have been chosen in particular in comparison to the Hilli and the equity requirements there?
Brian Tienzo: Well I think that the $250 million is a number that's in the joint agreement itself, Herman, but it may not necessarily come to that. You're absolutely right. If we can secure a financing for the Hilli -- sorry, financing similar to the Hilli, then that will be too much. Having said that, there may be additional expenditure as part of development of upstream side of the project. So we just needed to find a way to document it in order that we don't have to keep going back to it later on. So the flexibility is there. It's not a fixed amount, but ultimately Golar and Schlum will agree on that number if it's absolutely required to.
Herman Hildan: Can you also say what the equitable contribution in relation to your IP is as a portion of that 250?
Brian Tienzo: Sorry, can you repeat that?
Herman Hildan: In your press release you mentioned that there's an equitable contribution mechanism in relation to future projects. Is that included in the 250?
Brian Tienzo: It can be included in the 250.
Herman Hildan: Okay, but it's not defined? Okay. And my second question is on Golar Power. What's the timeline that you expect to deliver a full integrated solution with the power plant? And obviously interesting to get an update on progress in Brazil.
Oscar Spieler: Well, we're making progress in Brazil. The project team is well established, and Sergipe, the projects are working on getting the permits and so forth. We are working hard on the PC contract and the maintenance contract going forward. We are looking into the infrastructure project and so forth, and we believe that we will be in a position where we believe are working on the finance. We believe that we will be in a position to take FID end of this year or within this year on that project. There are a few moving parts. One part is the FSRU contract, which needs to be also placed. So what we have seen on the FSRU we are able to operate there quite with a good up time on the type of yoke system. We don't need to build a great quarter, so potentially we will also supply FSRU to that project.
Herman Hildan: Okay, thank you.
Operator: [Operator Instructions] We will take our next question from Anish Kapadia from Tudor, Pickering, Holt & Co. Please go ahead. Your line is open.
Anish Kapadia: Hi, good afternoon. I had another question relating to the Ophir project. I was wondering if you could explain what are the actual remaining obstacles to finalize the chartering agreement? And what's your financing strategy for the vessels? Are there any challenges that you're facing with that? And the second question was on the LNG FSRU supported power projects, just wondering how many of those projects do you currently see in the pipeline? Thank you.
Brian Tienzo: Anish, I think on the discussion of the detailed terms of the tone of the agreement and the financing is not something that we do just yet. I think obviously we will disclose what those terms are when they're done. Suffice to say that we're making good progress on that front.
Oscar Spieler: And of course to reintegrate the project we are, as I said, we are working on the Sergipe project. We are looking at a number of other projects in Brazil and other places, but I think it's too early to say how many projects will follow on this type of integrated project. So I can't really guide you there, but of course there are a lot of opportunities like reaching fuel to gas and provided we manage to do it in an appropriate way. We believe that there is a good market there and we will be able to capture that market through our FSRU projects.
Anish Kapadia: Thank you.
Operator: [Operator Instructions] We will take our next question from Gregory Lewis of Credit Suisse. Please go ahead. Your line is open.
Joe Nelson: Thank you and good afternoon. It's Joe Nelson on the line for Greg today.
Oscar Spieler: Hi, Joe.
Joe Nelson: Couple quick ones for me. You have called out some of the hurdles facing the Tundra. I'm just wondering, are you able or are you marketing the Tundra under the assumption maybe a resolution can't be found?
Oscar Spieler: As I said earlier, we are committed to the - under the contract we are signed, and we are not in a position to tender out Tundra to other projects without the consent of WAGL, which we are discussing with these days.
Joe Nelson: Okay. And then last one for me, just going back to the Gandria a little bit. Apart from you mentioned coming to I guess a marketing agreement or tolling agreement rather, are there any other hurdles facing the project coming to FID? Are there any other project partners that need to be aligned or anything like that?
Oscar Spieler: If you look at Ophir, we are very much aligned. We believe we are aligned with the government. Depending on the structure we agree with them, their government needs to approve it and agree, but I think it's in everybody's interest to get this project under way. We believe we are pretty much aligned there. Financing, we have pretty much under control. Conversion, we are finalizing contracts with the yards, but we believe that's not a big hurdle in this market. There is sufficient capacity and potentially also opportunities for savings on CapEx in this market. So I don't see any obstacles actually executing this project apart from the finances we need to get that done.
Joe Nelson: Great, thank you. That does it for me.
Operator: We will take our next question from Lukas Daul of ABG. Please go ahead. Your line is open.
Lukas Daul: Thank you, good afternoon. Brian, when you talked about addressing the convertible next year, could you just in a general way describe what are the options or what are the possibilities amortizing the IDRs?
Brian Tienzo: So I think we answered that previously, Lukas, and I think that the short answer to that is there is - obviously we are receiving a chunk of money from Partners at the moment to the tune of $8.6 million. There is a possibility for us to forego that in return for a big payout. So that helps Golar in dealing with it, but from some simulations that we've done it also helps Golar LNG Partners because then the future investments is easier to achieve better and quicker return that benefits both the common unit holders and of course the GP also. So it's beneficial to both.
Lukas Daul: All right, thank you.
Operator: We have no further questions in the queue.
Oscar Spieler: Okay, thank you very much for listening to us. We are working hard to succeed, both on the FLNG, FSRU, and shipping, and hopefully we will have good news next quarter. Thank you.